Operator: Good morning. Thank you for attending today's Frontier Communications Third Quarter 2023 Earnings Call. My name is Megan and I'll be your moderator for today's call. [Operator Instructions] I would now like to pass the conference over to Spencer Kurn, Head of Investor Relations at Frontier. Mr. Kurn, you may proceed.
Spencer Kurn: Good morning and welcome to Frontier Communications third quarter 2023 earnings call. This is Spencer Kurn, Frontier's Head of Investor Relations. Joining me on the call today are Nick Jeffery, our President and CEO; and Scott Beasley, our CFO. Today's presentation can be followed within the webcast available in the Events & Presentations section of our Investor Relations website. Before we start, please see our Safe Harbor disclaimer on Slide 2. This is a reminder that this conference call may include forward-looking statements that involve risks and uncertainties that may cause actual results to differ materially from those expressed today. During the call, we may also refer to certain non-GAAP financial measures which are defined and reconciled in our earnings presentation, press release and trending schedule. With that, I'll turn the call over to Nick.
Nick Jeffery: Thanks, Spencer and good morning, everybody. As you saw in our press release this morning, we reported another strong quarter of operational results and delivered accelerated EBITDA growth. Before we go into details on the quarter, I want to highlight the progress we've made in executing our strategy over the last two years. At our Investor Day back in 2021, we outlined a clear plan to build a future-proof digital infrastructure company designed to meet the current and future needs of our customers. Our strategy is based on four value drivers: build fiber, sell fiber, improve customer service and increase operational efficiency. And if we turn to Slide 4, you can see that we're delivering on our plan and we've done so even in a challenging macroeconomic environment. Let's start with our fiber build. Since we started in late 2020, we've expanded our fiber footprint by approximately 90%. We now provide 6.2 million homes and businesses access to our high-speed fiber network and we're more than halfway to our goal of 10 million fiber locations. On fiber penetration, we've grown our fiber broadband customer numbers by approximately 45% since 2020. And our base fiber footprint, we've now achieved penetration of 44%, just shy of our long-term target of 45% or better. And in markets where we're building fiber, our penetration rates are at or above our target ranges at the 1- and 2-year marks. And we're doing all of this whilst also growing ARPU, showing that our fiber offer is clearly attractive to our customers. We've also improved customer service. Over the last two years, we've created a culture where earning customer loyalty is a part of everyone's job. A weekly drumbeat of operational improvement enhanced by new digital channels means we are now better able than ever before to serve our customers. We can see the results of these improvements in our record Net Promoter Scores, reduced churn, reduce truck rolls and lower coal volume. And finally, on operational efficiency, we've dramatically simplified the way we work by eliminating unnecessary processes and systems, decreasing our real estate footprint and investing in new digital tools to make us more productive. We are on track to achieve $500 million in cost savings, double our initial target by the end of this year and we're not -- this should create significant shareholder value as we execute on the key levers of our financial model. It all starts with revenue growth. We offer customers a superior technology at a compelling price and we do this in a highly attractive market structure with only 1 or 0 gigabit capable competitors in 86% of our footprint. And these market dynamics support revenue growth as we increase the number of fiber customers and increase ARPU. At the same time, we're actively managing structural revenue declines in our legacy copper and voice products. And together, we expect to see sustained revenue growth as fiber becomes a greater and greater percentage of our overall mix. The next driver of returns is increasing margins. We are constantly identifying ways to work smarter and our targeted investments in technology, specifically in the areas of digital and automation should drive sustainable long-term savings. Also, as we grow revenue and increased scale which should benefit from favorable unit economics. Fiber is an inherently more efficient technology and delivers tomorrow's capacity needs at a fundamentally lower cost and legacy network. The strong economics of our model combined with fiber's inherent scalability should lead to material margin expansion. Next, let's talk about capital. I'm pleased to say that we're in a very strong position when it comes to liquidity. Thanks to the securitization transaction we executed earlier this year, we have a clear pathway to fully fund our build to 10 million locations. While the current interest rate backdrop is clearly a challenge, we've proven we can navigate it well. We have high confidence in our ability to deliver IRRs in the mid to high teens, well above our cost of capital. Ultimately, value is derived from EBITDA growth and cash flow generation. And our revenue mix expands towards more fiber, we should show accelerating EBITDA growth. And to give you a glimpse of what we're driving towards, I'd like to revisit our steady-state model. At a fiber build of 10 million homes passed and targeted penetration of 45%, we expect to generate EBITDA of approximately $4 billion. Now after subtracting maintenance and customer connection CapEx of approximately $1 billion, we should, therefore, yield recurring cash flows of approximately $3 billion. As we reach this steady state, we should be able to generate the cash flow to both reduce leverage and return cash back to investors. And given the inherent superiority of fiber, we should be able to generate attractive returns for decades. Now let's turn to Slide 6 to review how our third quarter results illustrate our progress. This quarter saw our strong operational performance, deliver accelerated EBITDA growth. We delivered EBITDA growth of 4%, our fastest quarter of growth in more than 6 years. We expect another quarter of solid EBITDA growth in Q4. I also want to call out the positive trends in our customer growth this quarter. Broadband net adds were up 20%, both sequentially and year-over-year and consumer ARPU growth turned positive in the first quarter in more than a year. This is the direct result of the targeted changes made earlier this year to bring our ARPU more in line with the market. These trends powered positive overall consumer revenue growth for our first time as a new public company and we expect this growth to accelerate net quarter. In conclusion, I'm pleased with the progress we've made in transforming Frontier into a fiber broadband leader and I'm excited about the tremendous opportunity ahead of us. Before I turn the call over to Scott, I want to say huge thank you to all of our team. I appreciate the hard work it takes to drive our transformation and advance our purpose of building Gigabit America. So, thank you, all. Scott, now over to you.
Scott Beasley: Thank you, Nick and good morning, everyone. I'll start with the financial highlights of our third quarter. Revenue was $1.44 billion. Strong fiber revenue growth of 10% was offset by legacy copper declines. We had $11 million of net income and we earned $526 million of adjusted EBITDA, up 4% year-over-year due to strong fiber growth. $328 million of our adjusted EBITDA came from fiber products which grew 19% year-over-year. Additionally, we generated $383 million of net cash from operations, bringing our cash from operations to $1.4 billion over the trailing 12 months. Our healthy cash flow before CapEx demonstrates the underlying cash generation profile of our business. Slide 9 highlights the strength of our fiber customer growth across base and expansion markets. The chart on the left shows that our broadband customer base grew 19% over the last 12 months and has grown 45% since we started building fiber in late 2020. This is an encouraging trend for two reasons. First, we achieved this solid customer growth while simultaneously growing ARPU. Second, we have grown our fiber customer base in an environment where household moves have been low. And our base fiber footprint of 3.2 million locations, our penetration increased 100 basis points to 43.9%. This is just shy of our terminal penetration target of 45% and serves as an indicator of where we can drive penetration in our expansion footprint. The chart on the right maps the penetration curves of each expansion cohort. As you can see, they are all performing at or above our target ranges at the 12- and 24-month marks. Moving to Slide 10. Fiber revenue growth accelerated to 10%, driven by healthy consumer performance. Excluding our legacy video product, Consumer Fiber revenue grew 20% this quarter. Overall, Consumer Fiber revenue grew 13%. Our Fiber revenue growth offset copper declines. And as Nick shared, overall Consumer revenue grew for the first time since we became a new public company. Business and Wholesale Fiber revenue was up 5% year-over-year. In Q4, we expect total business and wholesale to be down slightly sequentially and as Fiber revenue remains roughly flat and legacy products declined. Our strong Fiber growth drove an acceleration in adjusted EBITDA this quarter. If we turn to Slide 11, we you can see that we grew EBITDA by 4%. This was driven by Fiber revenue growth, effective cost reduction and actively managing copper declines. We expect these trends to continue in Q4. Let's turn next to capital expenditures on Slide 12. We are on track to meet our guidance of full year CapEx in the $3.0 billion to $3.2 billion range. We previously shared that CapEx would decline in the second half of the year as we would begin consuming prework and using the inventory that we purchased earlier in the year. We also expected to have a lower cost build mix. That's exactly what we saw in the third quarter and we expect more of the same in Q4. As I said last quarter, we expect 2023 to be our peak CapEx year. We'll now turn to liquidity on Slide 13. At the end of the third quarter, we had approximately $3.4 billion of liquidity, including $2.1 billion raised through our fiber securitization in August. This transaction was a significant milestone for Frontier as it provided a clear path to fully fund our fiber build and refinance traditional debt over time. Additionally, the deal highlighted the value of our mature fiber assets and it attracted a new pool of investment-grade long-term investors. In addition to our strong liquidity and access to capital, our balance sheet remains healthy. Approximately 87% of our debt is at fixed rates and we do not have any significant maturities until 2027. Finally, you can see on Slide 14 that our 2023 guidance remains unchanged. We continue to expect adjusted EBITDA in the $2.11 billion to $2.16 billion range. We expect to pass 1.3 million additional locations this year and expect cash capital expenditures of approximately $3.0 billion to $3.2 billion. I'll close by saying thank you to our team for another solid quarter. I'm personally proud of the work that we are doing to build Gigabit America and deliver connectivity to millions of consumers and businesses across the country. Now, I'll turn the call back over to Nick.
Nick Jeffery: Thanks, Scott. I know many of you have seen the reports of Jana's [ph] recent presentation. We're not going to take any questions specific to that topic on today's call. We've always engaged in open and regular communications with all of our shareholders and we will continue to do so. Our Board of Directors and management team are focused on driving long-term value for our shareholders, employees and customers and continue to take actions that enable us to deliver on this objective. Before we open it up for questions, I'm pleased to announce that we plan to host an investor update in early 2024, where we will provide additional detail on our longer-term financial model and expectations for driving shareholder value. Now, we'd like to open the call up to your questions. Thank you.
Operator: [Operator Instructions] Our first question will go to the line of Brett Feldman with Goldman Sachs.
Brett Feldman: And two, if you don't mind. Nick, when you had come to Communacopia [ph] a couple of weeks ago, you had mentioned how the market conditions were clearly having some impact on the testing of your subscriber growth, I think you were referring to the way seasonality has become a little more muted and household moves are down [ph] and Scott had referred to that as well. And obviously, it's good to see that you're still tracing towards your penetration targets despite that. But I'm curious, can you give us a little bit more insight into how meaningful you think those dynamics are to your growth, maybe some of the ways you've recalibrated in that environment? And is it getting to the point where the market has changed enough that you might be recalibrating the balance of passing that you'd want to have over the next year or so versus maybe be more focused on simply driving penetration of what you have? That's the first question. The second is the commentary you gave about business in wireline being down a little bit sequentially in the fourth quarter. I hope maybe you can just give us a broader update on how to think about the outlook for that segment in the current market conditions and whether you think that's going to be something that could drift to be lower in the near term or whether you see a clear half back to sustained growth?
Nick Jeffery: I mean, your question about market conditions is a good one because just like every other business, we're not immune from those things. But I think what we have done with some degree of success, is really focused on our core strategy of building fiber, selling fiber, improving care and becoming more efficient. And as that kind of translates into revenue growth. I think we see the strategies around ARPU development, penetration and so on, just progressing quarter-over-quarter in a very logical way. That doesn't mean in any way that we're immune from the wider market dynamics which affect us just as much. But if I look at how that strategy is flowing through, Consumer Fiber Broadband grew 22% year-over-year with double-digit growth in Consumer and ARPU up 2%. And our total Fiber revenue is also up 10%. So whilst those things are naturally offset by copper declines -- and as we open up new territories, new sectors and so on is in a sense, countervailing the cyclical pressures that we see. So it's a question of the kind of growth engine that we're building offset by any quarterly cyclical headwinds that we face. And the net of those two things is transitioning very well into the kind of overall growth that we're seeing. Now on Business and Wholesale. As -- just as with every other company, Business and Wholesale is slightly lumpy quarter-to-quarter. And we have a little bit more copper kind of headwinds in that business than in other parts of the business. But that said, it's -- we've got a very good team that's continuing to refine and improve that business. We're on track to achieve kind of stable total Business and Wholesale revenues for the full year in 2023. And again, if we take a step back and look at the Fiber revenue that sector is growing, we saw 5% growth in our Business and Wholesale Fiber revenues which really shows the potential of that segment as we continue to expand our fiber footprint and continue to kind of refine our go-to-market strategies there. And across all three business units in SMB, Enterprise and Wholesale, we're seeing a really sharp increase in order volumes and a much more favorable sales mix which overall leads to higher pricing. So again, whilst we're exposed to declines in legacy copper services whilst we, of course, face the kind of changes in headwinds quarter-to-quarter, just like in our whole business, Business and Wholesale gets structurally stronger every quarter as we build fiber, refine our go-to-market activities, keep focused on our pricing strategy of moving people up -- selling more value-added services and the business goes from strength to strength quarter-over-quarter.
Operator: Our next question comes from the line of Jonathan Chaplin with New Street.
Jonathan Chaplin: A couple for Scott, actually. Scott, you didn't narrow the range on EBITDA guidance for the year which means you've got sort of a big range for the fourth quarter. Should we still be focused on the middle of that range which would suggest really solid mid-single-digit growth for the fourth quarter? And then, it seems like in the Copper business, EBITDA did sort of many well recent -- relative to recent trends, is that mostly a function of the cost cutting that Nick mentioned during his comments? Or is there anything else going in there? And then I think you said during your comments that the drop in subsidy revenue is just a matter of timing, we should collect that in the fourth quarter. I just wanted to confirm that as well.
Scott Beasley: Sure, Jonathan. Let me take each of those in turn. So on EBITDA, a few points that we've given on EBITDA that I'll reiterate today. We expect sequential growth in Q4 from where we were in Q3 and then looking at year-over-year growth, we expect that to be in the low to mid-single-digit growth from last year's fourth quarter. So we have inflected in EBITDA. We grew EBITDA in the first half. We grew EBITDA by 4% in the third quarter, we expect full year EBITDA growth this year. So the EBITDA inflection story is a really big milestone for us, so that's fourth quarter EBITDA. On the second question of Copper, you're right. Our customer losses have been relatively stable in Copper in the kind of low to mid-$60,000 [ph] per quarter but our EBITDA trajectory has improved because of that cost cutting. We're almost to the $500 million of cost cutting about a year earlier than we expected. And so that's driven the improvement in our Copper EBITDA and our overall EBITDA for the company. And then the third question was subsidy. Yes, that's just a question of timing. Subsidy is very lumpy quarter-to-quarter depending on when you get in cash from different municipalities. So no change to our overall subsidy view for this year. Perhaps some of Q4 could transition into Q1 of next year but our subsidy road map is very much intact.
Operator: Our next question comes from the line of Greg Williams with TD Cowen.
Greg Williams: First one is just on CapEx. It does imply that CapEx will come down to the $350 million [ph] levels here. Can you help us with the cadence of next year? Will we see that huge bump up like we saw last year in the first half of the year? Or will it be more muted? And the second question around CapEx is helping us get comfortable. You noted that 2023 will be that peak CapEx year to 2024 and turn lower [ph]. But you also noted that this year, you've got a higher mix of lower cost per build homes, like the lower-hanging fruit is being built. So, as we move about next year, you'll have a higher mix of higher cost builds, yet you'll see lower CapEx and just help us reconcile that and get comfortable there.
Scott Beasley: Sure, Greg. Let me take each of those. So on CapEx for the fourth quarter and into next year, let me give you a few data points there. So as we expected, we saw a significant decline in second half CapEx. We saw a nice step down in CapEx this quarter which was driven by three items. We consumed prework that was completed in prior quarters. We consumed inventory and then we benefited from lower cost builds and we expect each of those trends to continue into Q4. And additionally, we expect benefits from normalizing payment terms with suppliers; so that's Q4. And the part of your question on next year, a few broad data points to give you. So we expect roughly 1.3 million [ph] passings. We expect CapEx to be below this year. And then we do expect it to be front-end loaded, similar to this year, just given the cadence of the build. So that's the road map on CapEx for the next 5 quarters. And then the final part of your question on build CapEx for next year. The trends that I mentioned for Q4 will continue into next year. So we will continue consuming prework. We'll continue consuming inventory. And if you think about it, we do have a large backlog of work that we've done in engineering, design, central offices, middle mile [ph] that lowers the cash CapEx in future quarters. And so that will help benefit our CapEx number next year.
Operator: Our next question comes from the line of Nick Del Deo with MoffettNathanson.
Nick Del Deo: You had very solid subscriber performance in the base markets in the quarter which I guess implies somewhat softer contributions from the expansion markets. I guess, can you talk about that a little bit? And kind of more generally what you see with respect to churn and ARPU trends in some of your more seasoned expansion markets versus your base markets. And then on the commercial front, it sounds like there might be somewhat different headwinds in that business as of late. But Nick, you noted kind of flat revenue year-over-year, '23 versus '22. I guess as we look out over the coming years, would you expect commercial revenue to kind of remain flash or do you think the tailwind you talked about can overcome some of those headwinds and get you positive growth?
Scott Beasley: Yes, sure. Let me take the first one and then pass to Nick for the Business and Wholesale question. So on the question about net add performance, let me break it into two parts, base and expansion. In base, we had another strong quarter of penetration gains. We finished at roughly 44% which is up from 41% a few years ago and it's very close to our terminal penetration of 45%. So we feel really good about the trajectory in our base. And we also feel good about the trajectory and expansion. We continue to be at or above our penetration targets at 12 and 24 months. And if you see in our slides today, we're within that 15% to 20% range of 12 months and 25% to 30% at 24 months. So with those big picture data points in mind, every quarterly build cohort is going to be different. You have new geographies, different location types that have different sales cycles and penetration timelines. For example, a multi-dwelling unit may take longer to sell into in the first several months but you're going to get to the same point at 12 and 24 months or a new state where we don't have deeper brand awareness, it might take a few more months to build that brand awareness but you get to the same point by 12 and 24 months. And that's really why we give annual penetration targets externally, not quarterly or monthly. So when we take a step back, we're very pleased with the net add performance in the quarter. We see it increasing in Q4, increasing into 2024 and feel good about the path we're on.
Nick Jeffery: Yes -- and I'll take the Business and Wholesale question. I mean just taking a little bit of a step back as I think I've said on previous calls, our Enterprise Business, in particular, is perhaps not like the Enterprise Businesses of some of our peers when we kind of analyze it. I mean, in three main ways. The first of which is we don't really have any large Enterprise customers. So what we call Enterprise is typically medium and below in terms of how other people would describe it. So we've got a really small kind of enterprise base compared to others. That means that those customers have a much higher propensity to buy the core product that we are building and selling, so high-speed symmetrical fiber. So therefore, we've got a very different market topography than some of our peers. Second thing is we are a very small part of the market. So the overall market dynamics don't really affect us so much. And that's particularly true when you realize that, that business in the past was perhaps not a well-run as it could have been. So I'm really, really pleased with the work that the new leadership teams have put in place there. You can see that flowing through in strong order books. You can see it flowing through in the 5% growth we saw in Business and Wholesale fiber. And of course, that just keeps accelerating as we build more fiber pass [ph] more of these businesses and drive up penetration. Now it is also true that we have a greater proportion of sort of legacy copper in those segments than in our Consumer segment. So the headwinds there are slightly stronger. And particularly, Wholesale is very, very lumpy in the nature of the way that business comes through. It's a little bit difficult to predict quarter-over-quarter. But to answer your question directly, I think we are now firmly on a trajectory to stabilize that business this year, as we said previously, very pleased about that. I think that's going to continue for some time. And then as our new fiber growth continues to accelerate at some point in time, that will outweigh the legacy. When exactly that is, we'll have to talk about on subsequent quarters.
Operator: Our next question comes from the line of Phil Cusick with JPMorgan.
Philip Cusick: A couple of follow-ups. I guess, first, Brett's first question, Nick, because I'm not sure I understood your comments. And this goes to a little bit of what Scott was talking about as well. Just talk about the potential to accelerate fiber penetration from here. Or do you prefer to push harder on ARPU as you think about the combination of revenue growth? How should we think about that ARPU trending from here? And then, Scott, I think you just said you expect fiber adds to increase in Q4. Is that quarter-to-quarter or year-over-year? And then in '24 as well?
Nick Jeffery: Yes, Phil. I think the straight answer to your question is both. If we look at how we're accelerating penetration in our base which, of course, we've separated from our expansion markets, specifically to show the potential for us to grow penetration in a mature market and we are systematically increasing penetration quarter-over-quarter-over-quarter and now well on our track to our terminal penetration of 45% or above. We know that's doable because we've got lots of markets that are already at that level of penetration or indeed some that are higher and then moving the average of that base fiber market up 45% critical indicator of what's possible as we build new fiber. Now, we're also tracking to exactly the ranges at the 12-month and 24-month cohort we said in our new fiber build as well. So I'm highly confident that we can drive penetration up in new fiber builds to match that in base fiber builds over time and that's an important part of our model. Now separately, I've also talked about our pricing strategy and our ARPU development strategy. And there, we've taken some very clear and thoughtful actions to grow our ARPU. First of all, we reduced the use of gift cards. We've implemented a number of pricing adjustments with unbundled value-added services. And we've built a pricing ladder which really incentivizes customers, first of all, to take gigabit speed but then to move up that gigabit speed ladder. And now we have more than half of our new customers choosing gigabit-plus speeds and value-added service attach rates have more than doubled with 40% of our new customers making one or more value-added service. So as we do both of these things, I believe it is absolutely possible to drive up penetration as we're seeing and drive up ARPU as we're demonstrating. Scott, over to you.
Scott Beasley: Sure, Phil. On your question on net adds, you're correct. We expect Q4 to be up versus Q3 of this year and we also expect it to be up versus Q4 of last year, so up year-over-year and quarter-over-quarter. And then we haven't given specific 2024 guidance on net adds but we do expect the volume of net adds to be up in 2024 versus 2023.
Operator: Our next question comes from the line of Peter Supino with Wolfe Research.
Peter Supino: I had a question about longer-term penetration, a familiar question but one that we still hear all the time from clients is how your confidence is built in the attractiveness of the next several million homes. The concern is always that you've built the best ones first and that the penetration of the later vintages [ph] will be worse. And so anything you can share about your process for evaluating those opportunities, bottom up and what the characteristics are that underpin your confidence?
Nick Jeffery: Yes. Perhaps -- thanks, Peter. I'll take that and then -- hand to Scott. I mean, look, our long-term penetration rates, as we've said, are to some extent, founded on the fact that we have many of our more mature markets already at or above our 45% or better terminal penetration rate. So we know this is doable, point one. Point two, that base was at some point inherited from the companies that Frontier bought that from where penetration was actually higher in the past. And for various reasons, way before any of the current team -- here, that penetration was lot down [ph]. We're now systematically building it back up to levels that it was previously at. And why is that doable? Well, because we've got an extremely favorable market structure, where in 86% of our fiber footprint, we have one or fewer gigabit plus capable competitors. And that market structure is likely to remain very stable into the future. And that, combined with our fiber expansion plans, our ever better go to market are very purposeful and clear pricing strategy means I strongly believe we'll be able to grow our terminal penetration right across the base over time to 45% or above. Scott?
Scott Beasley: Yes. And Peter, on your question of kind of cohort by cohort penetration, have we taken the best ones and left subpar once for later. The answer is no. We have a long enough track record now, if you look at 2020 cohort 2021 cohort 2022 cohort -- those are all within the target ranges of 15% to 20% after 12 months, 25% to 30% after 24 months. Those all look different. They have different mixes of geographies, different mixes of unit types. We've said every cohort is different. But eventually, at 12 months and 24 months, it will get into the same penetration range. We've now expanded our build. We're building in roughly 15 states. We think the new states that we're building in are just as attractive penetration wise as the states that we started building in. So when we look at the next several years of penetration, we expect each of those individual cohorts to be in that 15% to 20% range at 12 months.
Operator: Our next question comes from the line of Michael Rollins with Citi.
Michael Rollins: Thanks. I'm curious if you can give us an update on the last 1/3 of the footprint in terms of what you may be thinking today in terms of monetization opportunities for some of the footprint, fiber builds and deed opportunities. And then just more broadly, how is the fiber board and management team viewing the public market as the right place for Frontier to be for the multiyear investment plan for your fiber strategy?
Nick Jeffery: Thanks, Michael. Perhaps I'll take the last one and Scott [ph]. I mean, look, we're not going to comment on whether the public market or other structures are the right structure for Frontier to operate within. I mean, that's something for the Board to consider. And the Board is always considering all of the options for Frontier to create long-term shareholder value. What I can say is that I firmly believe in the strategy that we've got of building fiber as fast as we can, penetrating that fiber rapidly, improving customer care for all customers and continuing to become an ever more efficient business is exactly the right mechanic to create long-term shareholder value by expanding our fiber footprint in a way that we know there is clear demand for. We know we can penetrate these markets, we know we can build efficiently and we believe that, that is the right recipe to create long-term shareholder value. Scott, do you want to comment on BEAD?
Scott Beasley: Sure. So Michael, your question -- on your question of the last 1/3 of our footprint. So the $5 million [ph] following the committed build of $10 million [ph]. I think that $5 million [ph] falls in a few buckets. One, we've said beyond the committed build of $10 million [ph], there could be $1 million to $2 million [ph] that makes sense for private capital. So our capital to pass. That has not been the focus of ours thus far is on the $10 million but we are starting to look at ways to potentially expand into that $1 million to $2 million. The bulk of that $5 million be best built out with fiber if we receive subsidies. So we are active in subsidy programs now before BEAD really gets rolling, we'll be an active participant in BEAD. And we think the BEAD program is very important to connect all of the unserved and underserved homes and businesses to the digital economy and we active participant in BEAD [ph]. So the focus is on the committed build of $10 million [ph] but we are starting to look at creating value beyond that $10 million [ph].
Operator: Our next question comes from the line of Simon Flannery with Morgan Stanley.
Simon Flannery: Great. Nice to see the ARPU trends coming through. Could you just talk a little bit about what you're seeing on the tier mix? What levels are people coming in at? Are you getting existing customers upgrading to higher speeds? I know you've had some -- a lot of focus on some of your above 1 gig type tiers. And then, any comment on -- you talked about different moves with different sales channels. Perhaps you could update us on where you stand on that? And I guess, finally, the cable companies, particularly Charter is coming up on the first anniversary of some of these discounted bundles. Do you think there's an opportunity for you there to take share as those prices get reset?
Nick Jeffery: Yes, Simon, thanks. It's Nick. I mean, we don't disclose the individual mix on sort of a gigabit plus speed -- but what I can say is as we've extended our gigabit pricing ladder from 0.5 gig to 1 gig, 1 gig to 2 gig and then more recently, 5 gig, it has had exactly the impact on the overall speed mix that we hoped it would. So we have the kind of headline product, 5-gig -- first company to launch 5 gig to metrical services network-wide, the first company launched 2-gig symmetrical services network wide. And in both cases, we found as a cohort of customers who want the newest, who want the best, who want the fastest and they buy into that tier. That then has the effect of pulling the tier below up speed ladder. And so it shifts the entire speed mix to the right and up. And then, of course, we unbundled value-added services that we used to give away for free and started charging those, have the kind of strange effect that then actually the take rate went up. So we generated more revenue and greater take rate on value-added services. And those things combined are what's leading to a very systematic, structural determined, purposeful way of increasing customer value systematically. And we're not done there, by the way. Our network is already 10 gig capable end-to-end and there's a clear path to 25 gig and beyond at a very, very low CapEx requirement. If we ever needed to do that and we haven't made that decision but it's an option for us in the future. So very pleased with the way that pricing ladder is working and it clearly meets a customer demand at every speed and price point. On sales channels, again, we don't disclose the exact mix but across door-to-door, telesales, digital sales [ph] and so on. We are continually optimizing that mix. And we optimize it not just across the country but state by state, city by city and make sure that the channel best meets the demographic and penetration rate that we're trying to sell into, are always looking at the most efficient way to sell. And sometimes that throws up strange thing you think digital would perhaps be the most efficient way to sell. Sometimes it is and sometimes it isn't. And we are just day-to-day, month-to-month as we go forward, always trying to find the best way to drive penetration at the lowest unit cost.
Scott Beasley: Yes. So on your final question of will discounted bundles will the expiration of those help us. We compete on a number of dimensions like Nick said, we have a superior product. We have now superior customer experience versus our competitors and we have a favorable market structure. So I think in general, people are -- you can see from our customer net add numbers that customers are increasingly choosing fiber versus a cable alternative and we think that will continue.
Operator: Our last question will go to the line of Frank Louthan with Raymond James.
Frank Louthan: Back to your commentary on the margin additional cost savings. When you hit your 40% fiber penetration rate, how much of the legacy copper operating costs and you remove [ph]? And then how long does it take to get all of those costs out and really shut down the copper network? Give us an idea of how that kind of paces with the build going forward.
Scott Beasley: Sure, Frank. Let me talk about the margin, how that translates into margins and I'll talk about timing. So we're in the high 30s margin now. We've said in the steady state, we would move towards the mid-40s or potentially even high 40s. A lot of pure fiber players are even north of 50% margin. So just our fiber mix improving changes the margin profile. And then we've got to be aggressive in taking cost out of the legacy copper footprint and that happens in a few ways. Number one, it happens incrementally where we reduce our copper customer base as they transition to fiber. That improves customer experience. We have fewer repairs, fewer calls, lower electricity costs as we kind of migrate customers off of copper. And those happen incrementally, you'll see that just in a gradual improvement in the margins. The step change improvements in the margins happen when you get that final customer off of a copper wire center, you can decommission a full wire center of copper, take out the central office costs, take out the electricity cost, take out any remaining maintenance and repair costs. We're actively pursuing that cost mitigation but it's a multiyear journey. So probably will be a few years until you see those big step change improvements in cost reduction from our copper decommission but we are improving margins all the time, you saw. We improved in about 100 to 200 basis points versus last year. A portion of that is improving fiber mix and ARPU but a portion of it is lower copper costs.
Spencer Kurn: Thanks, Frank. That concludes our third quarter 2023 earnings call. Thank you all for joining us.
Operator: That concludes the Frontier Communications third quarter 2023 earnings call. Thank you for your participation. I hope you have a wonderful rest of your day.